Operator: Good day and welcome to the Pyxis Tankers' Conference Call to discuss the financial results for the First Quarter 2019. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers' website, which is www.pyxistankers.com, that's P-Y-X-I-S-T-A-N-K-E-R-S.com. Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers and Henry Williams, Chief Financial Officer. I would like to now introduce Pyxis Tankers’ Chief Executive Officer, Eddie Valentis. Please go ahead, sir.
Valentios Valentis: Thank you, operator. Welcome everyone, and thank you for joining our call for the three months results ended March 31, 2019. Before starting, please let me draw your attention to some important legal notifications on Slide 2 that we recommend you read including our presentation today, which will include forward-looking statements. Thank you. Turning to Slide 3, our results for the first quarter 2019 reflected an improvement from an operating perspective over the comparable period of 2018 and more importantly, over the very difficult chartering environment of last fall. In Q1 2019, we generated time charter equivalent revenues of $4.8 million over 5% higher than the same period in 2018. We had a net loss of $2.3 million or $0.11 per share for the first quarter of 2019 versus a net income of $600,000 or $0.03 per share in the same period in the prior year. Note that 2018 period was affected by two major items, a $4.3 million gain from early debt extinguishment and a $1.5 million non-cash vessel impairment charge related to a small tankers. Our adjusted EBITDA for Q1 2019 increased by $400,000 to $500,000. As previously mentioned, charter rates for the product tanker sector were extremely weak last fall. However, our operating results for the first quarter 2019 reflected the stability and contribution from the certain time charters we entered into during Q4 2019 for our medium range product tankers as well as continued cost discipline. The average daily time charter equivalent for our MRs was approximately $12,700 per day during Q1. Through the summer of 2019, we expect chartering activity to be choppy. All of our MRs continue to be employed under time charters of varying durations. Starting this fall, we expect the market to improve significantly beyond the historical seasonal upswing for the fourth quarter. The primary reason is the worldwide impact of the new IMO regulations regarding the use of low-sulfur fuel for the vast majority of maritime industry. Two of our younger MRs have fixed under time charters at higher rates averaging approximately $15,400 for one-year with a charters option for an additional year at $17,500 per day starting Q2 2020. These charters and the rest of our fleet activity shown on Slide 4. As of May 17, we had 43% of our remaining available days for 2019 cover exclusive of any expense the MRs have an average daily rate of approximately $15,000, which is $1,000 higher than the10-year average for one-year time charters. As you can see, our small tankers continue to operate in the spot market. We will continue to utilize our mix charter in strategy and expect to have the remaining to MR in position for the uplifting rates starting in the fall. Please turn to Slide 6 for a brief update on the product tanker market. Inventories of major refined products worldwide currently approximate five-year averages. In the short-term, we expect the chartering environment to be choppy due to seasonal softness, longer refinery maintenance programs, new tonnage hitting the market, including new build larger crude tankers, which can carry clean petroleum products and their maiden voyages and the minimal arbitrage opportunities. Turning to Slide 7, overall we expect the better and sustainable market starting Q3 2019. Our outlook is based on demand growth of 3% per annum due to solid global consumption of refined petroleum products and modest ton-mile expansion from the changing refinery landscape. Moreover, the MR2 sector should be a primary beneficiary of the new IMO 2020 skill relations, which should provide incremental demand for our class of vessels. The distribution of new compliant low-sulphur fuels through the massive global network of ports and marine storage facilities should further increase ton-mile demand and expand trading routes for MRs. The return of arbitrage opportunities for the sector could be icing on the cake. The MR2 order book continues to decline and recently a leading in this resource estimated the order book at 7.1% out of worldwide fleet of over 1,600 vessels. While a significant number of MR has scheduled for delivery, the remainder of 2019, new ordering activity continues to be low. Cost effective capital continues to be tight industry-wide, [indiscernible] new tanker deliveries expected to continue to be significant in 2019. Demolition should increase a 7.3% of the global fleet or 122 MR are 19 years older and in light of the impact of the new environmental regulations and less efficient vessel. Consequently, we believe net fleet growth for MRs will be in the areas 2.7% in 2019 and lower in 2020. Turning to Slide 8, MR2 asset prices have increased over the last few years, especially for modern equidistant on us, but are currently near or below 10-year average. They’re continues to be attractive opportunities to acquire second hand tankers at the reasonable prices and capture the potential upward movement of charter rate. So our sector has positive near-term fundamental and the major catalyst of IMO 2020 combined with relatively attractive asset values, which we believe translates into an attractive entry point to enhance stockholder value. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's start with our unaudit results for the three months ended March 31, 2019 on Slide 10. Our time charter equivalent revenues for Q1 2019, which we define as revenues net minus voyage related costs and commissions were $4.8 million, an increase of 5.3% from the same period in 2018, primarily a result of higher vessel utilization. In Q1 2019, our daily TCE rate fleet-wide was basically flat at $10,600 compared to the 2018 period, but utilization improved to 87.7%. Results for the small tankers negatively affected to these results. Turning to Slide 11, we incurred a net loss of $2.3 million for the three months ended March 31, 2019 or $0.11 basic and diluted loss per share based on 21.06 million weighted-average shares outstanding, compared to net income of $600,000 or $0.03 basic and diluted earnings per share based on a slightly lower share count. Please note that the quarterly results in Q 2018 were impacted by two non-cash items. One, $4.3 million gain from the early prepayment of loans on three of our vessels, as one of our long time lenders exited the industry and we refinanced with the new bank. And two, a $1.5 million impairment charge related to the write-down of the carrying value of our two small tankers to their then fair market values. Continued discipline within vessel operating costs and G&A expenses during Q1 2019 resulted in an improvement of adjusted EBITDA to $0.5 million. Interest expense rose significantly in Q1 2019 due to a higher LIBOR rate on our floating rate loans as well as higher rates from debt refinancing on four of our ships. Please turn to Slide 12, which reviews our recent fleet data by vessel type. Given the size of our fleet, changes in these metrics related to a single vessel in one reporting period can have a disproportion effect on the total fleet operating results. Focusing on the quarter ended March of 2019, we would like to point out four key takeaways. The TCE for our four MRs averaged approximately $12,700 per day. The average TCE for our small tankers improved slightly to about $5,000 a day, but utilization was negatively impacted by greater off hire in the spot market. Our Pyxis Malou, our eco-efficient MR2 had her 10th year special survey with installation of a U.S. Coast Guard approved ballast water treatment system, which temporary accelerates certain operating costs during the period, and finally fleet-wide daily operating expenses were approximately $6,000 a day, a slight improvement over Q1 of 2018. On a period-over-period basis, OpEx was again very consistent. Turning to Slide 13, we believe it is important to review total daily operational cost to run and manage a public tanker company, including overhead. These costs vary by fleet composition and vessel delivery, accompanying operating structure and management. We define total daily operational cost as vessel operating costs, technical and commercial management fees, plus G&A expenses. For comparative purposes, we believe that the total daily operational cost for our eco-efficient MR2 tankers continue to be competitive within the industry, despite our small size. Please turn to Slide 14 to review our capitalization at March 31, 2019. At quarter close, our consolidated leverage ratio was on par with other publicly-traded tanker companies, as net funded debt stood at $62.6 million or about 60% of total capitalization. No balloon principal payments are due for another three plus years. With that, I would like to turn the call back over to Eddie to conclude the presentation.
Valentios Valentis: Thanks, Henry. We believe that the fall of 2019 will be the start of a better and sustainable product tanker market, leading to improving charter rate, cash flows, and asset values. Our current mix of time charters and spot exposure should help us manage a potentially choppy environment in the short-term and then further position us to take advantage of increasing rates. We hope to utilize our cost effective operating platform and deep management experience to take advantage of opportunities to enhance stockholders value. In conclusion, we feel confident in the long-term industry fundamentals and are positioned to capitalize on future events. I thank you for joining our call today and look forward to reporting on further progress at Pyxis Tankers.
Operator: A - 
Operator: Thank you very much, ladies and gentlemen. That does conclude the conference for today. Thank you for participating. You may all disconnect.